Operator: Thank you for standing by ladies and gentlemen and welcome to the Costamare Conference call on the First Quarter 2014 Financial Results. We have with us Mr. Gregory Zikos, Chief Financial Officer of the company. At this time all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator instructions). I must advise you that this conference is being recorded today Wednesday, April 30, 2014. We’d like to remind you that this conference call contains forward-looking statements. Please take a moment to read slide number two of the presentation, which contains the forward-looking statements. And I will now pass the floor to your speaker today Mr. Zikos. Please go ahead, sir.
Gregory G. Zikos: Thank you, and good morning ladies and gentlemen. During the first quarter of the year the company delivered positive results, while at the same time its fleet renewal and expansion strategy. Regarding our existing newbuilding program, we accepted delivery of all ten newbuildings ordered during 2011. All the ships have commenced their long-term charter employment.  Due to these business developments, we are pleased to announce that the Board of Directors has approved a dividend increase of $0.01 for the first quarter of the year as a result of our increasing long term cash flows. Recently we acquired from an insolvency administrator a 2000-built 1,645 TEU container vessel. The acquisition was funded 90% with bank debt and forms part of a broader agreement between the company and the vessel’s current lending bank. After delivery, the vessel will commence its charter employment.  Regarding our chartering arrangements, our re-chartering risk is minimized. The charters for the vessels opening in 2014 account for approximately 3% of our 2014 contracted revenues. Finally, on March 31, we declared a dividend on our Series B and Series C Preferred Stock, paid on April 14. We continue to execute successfully on our growth strategy. We feel we are well positioned to continue to grow selectively and on healthy grounds. And now let us move to the slide presentation. On Slide 3 we are providing a summary of our recent transactions mentioned earlier. Over the last couple of months we accepted the delivery of another two 9,000 TEU containership vessels, which concludes the deliveries of the series of 10 vessels we ordered back in 2011. As mentioned earlier, we are pleased to announce that as a result of these recent developments the Board of Directors approved a dividend increase of $0.01 and the company today announced the first quarter common stock dividend of $0.28. Earlier in the quarter the company also declared a dividend on both (inaudible). Finally, we bought from an insolvency administrator a 1,645 TEU vessel, which is 90% funded with debt. Receipt has been subsequently chartered. Moving on to the next slide, on Slide 4 we are summarizing our chartering arrangement. During the quarter, the company fixed most of the vessels, which were operating for charter for short-terms at market levels. Moving on to Slide 5, on this slide you can see the first quarter 2014 results versus our same period of 2013. During the first quarter of this year, the company generated revenues of 115 million, EBITDA of 73 and net income of 17 million. For the same period of 2013, the revenues amounted to 92 million and EBITDA and net income 64 million and 24.7 million respectively. Considerably with our previous press releases, we feel that the EBITDA and net income figures need to be adjusted for the following non-cash and one time items. First, the accrued charter revenues and the resulting discrepancy between revenues received and revenues accounted for based on a straight-line amortization schedule. Secondly, the gains or losses resulting from derivative instruments, including one time swap breakage cost, relating to the refinancing of our recently delivered newbuilds. And thirdly, the accounted gains or losses resulted from other disposals. Adjusting for the above, the first quarter EPS amounts to $0.35 versus $0.29 for the same period of last year, and the first quarter EBITDA 22 million versus 61 million for the same period of last year. Overall the company generated strong results during the quarter based on solid fundamentals. On the next slide, we are showing the revenue contribution for our fleet. Our revenues come from first class charters. More than 90% of our contracted cost comes from Maersk, MSC, Evergreen and COSCO. We have $2.7 billion in contracted revenues and a remaining time charter duration of about 5 years. Moving on to Slide 7, Slide 7 is dealing with the theoretical re-chartering risk that company would face in 2014. You can see the EBITDA sensitivity. Based on our above assumptions the four ships coming out of charter in 2014 are re-charted at a 70% rate, equal to a 30% discount on our 2014 re-chartering. The cash effect is minimal, less than 3% of the 9 months EBITDA, which goes up to about 5% for a 60% discount. We feel that in order to assess a company's real re-chartering risk, some initial focus on cash, since this is what is servicing the company's debt obligations and cash available for distribution is what is paying the dividend and allows for further growth. Based on the above, we do believe that the dividend we offer today is very attractive, based on its quality and sustainability. Moving on to the next slide, on Slide 8 we discuss our balance sheet. Liquidity as of the end of the quarter stands at 238 million in cash and equivalents. At the same time, we have unencumbered vessels and a moderate fleet leverage. Our loan portfolio is 85% hedged at a weighted average rate of less than 4%, which adds to the cash flow visibility. The debt repayment schedule is smooth and evenly spread in the coming years. The distributable cash flows on a post debt service basis is not artificially enhanced. We consider the company to be in a competitive position with a comparatively stronger balance sheet, which together with our joint venture with York Capital will allow us to continue making attractive acquisitions in a low market. And now moving to the last slide, on the last slide we are discussing the market. Order book rates have been volatile, the carriers’ operating income has turned positive for the first time since 2010. Charter rates and secondhand asset values remain at historically low levels. The opening of 2014 show an increase in the volume of secondhand vessels, driven by low asset prices across the board. (inaudible) is one of the main reason behind the strong momentum in ordering. Finally the end of the slack season has had an impact on the idle fleet, which has been falling over the last 12 weeks. As mentioned in the past, we feel we are well capitalized to act and deliver superior returns in such a volatile and low asset value environment. Thank you very much. This concludes our presentation and we can now take questions. Operator?
Operator: (Operator instructions) And our first question comes from Ben Nolan of Stifel Nicolas. Please go ahead.
Ben Nolan – Stifel Nicolas: Yeah, thank you. I actually had a few questions for you guys. Number one, the deal that you guys did with the bank to acquire the asset in which they gave 90% financing, that seems like a pretty attractive deal. I don’t know exactly what the purchase price is, but I would imagine that it was pretty attractive, but there haven’t been an awful lot of those that we have seen in the market. Are we just not seeing it, or is it a function of there is a lot of competition for those assets or do you think we are likely to see a lot more of that in the future, I don’t know, any thoughts as it relates to that?
Gregory G. Zikos: Yeah. Good morning Ben. Look regarding this bank related transaction, I think you are right mentioning that over the last year or couple of years we haven’t seen the volume of distressed transactions coming out from commercial banks people were expecting to see, and I think this is still the case. Now there might have been one or two this year, but definitely there are a lot of ships today where the loan outstanding is much above today’s market value, and most of those ships have short-term time charter duration or they maybe lying idle with no time charter at all. Now there haven’t been a lot of transactions like that. One of the reason maybe that banks may not be willing yet to take any losses or may not be willing to participate as equity shareholders in value structure the deals. Well, is this going to change or not, I am afraid this is something I am not able to predict. It is up to the financial institutions, and it is also up to the market. So I think finally if the market goes up then financial institutions might not have an incentive to sell at low prices. But I’m afraid I cannot predict the future on that.
Ben Nolan – Stifel Nicolas: Okay, but as of now you still see deals sort of on a one off basis, but you know, there are things out there just not a whole not, I guess is the fair way to characterize it presently.
Gregory G. Zikos: Yes. Yes, yes. I mean there are a couple of transactions, but I mean we are nowhere close to, you know, the number of deals that could have taken place having banks decided to off-load assets where the loan outstanding is much above the market value of the vessel today.
Ben Nolan – Stifel Nicolas: Okay. That is helpful. And then another question in going through the fleet list, there was a footnote on the three vessels that you guys had been a little underpaid in the quarter, could you maybe give me an update as to where that process is on those ships and how you see that playing out going forward?
Gregory G. Zikos: Yeah, I mean, I think probably that the deal is now in restructuring process with our three ships charted to ZIM, three panamax vessels, and those charters are expiring in October, I mean around October 2015. So first of all let me say that as far as we are concerned this is a very low exposure if you consider the contracted revenues of those vessels compared to the 2.7 billion of total contracted revenues for the company. Now, regarding the status of the restructuring, this is work in progress. We haven’t signed anything yet. There are sort of negotiations. I think there is a timeframe set, but there are a lot of creditors involved because as ship owners, it is banks, it is the company dealing with these related parties, it is the company’s shareholders. So there is – if it is a (inaudible) bondholders. So this is – the process goes on as we speak. I cannot tell you, you know, when this will close. But as far as we are concerned, apart from the low exposure we have, we have an agreement with the company where, you know, in exchange of a reduced rate we are going to be getting debt and equity and some charter extensions. But this has not been documented yet, so I think we will have to wait.
Ben Nolan – Stifel Nicolas: Okay, but that is helpful. And then lastly from me as it relates to sort of the state of the market, you mentioned that in the past few weeks you have seen idle fleet or the number of assets being idled come down, and utilization picking up, I was curious if there is a particular subsegment that is seeing a special – especially, you know, a good improvement in utilization. I mean the sub-2000 TEU vessels have been outperforming some of the slightly larger ones. Is that – is there any area of the market at the moment that has you especially encouraged, I guess.
Gregory G. Zikos: Well, look, we have seen regarding the (inaudible) ships, we have mainly seen ships in the range of 5000 to 7500 TEUs, where like over the last weeks like 10 of those ships have been reactivated. So we have like 24, 25 of those ships (inaudible), we have 13 ships. (inaudible) the previous quarter has handed. So this is something we would expect. However, leaving that aside, you know, the rate for some other charters are, you know, both from a historical perspective they are at very low levels. The Panamax today is dipping low to 7000 per day. We have seen some increased interest for the bigger vessels, probably 8500 TEU ships and we have some ships recently sold. I mean you can argue that those asset classes are now performing better, but overall if you look at the market, I would say that charter rates and asset values are at very low levels.
Ben Nolan – Stifel Nicolas: Okay and in terms of the – that is somewhat universal across all asset classes, everything is pretty weak. Maybe there is a small level of outperformance in some subsectors, but it is not meaningful I guess. Is that a fair way to characterize it?
Gregory G. Zikos : Yeah, I mean, you know, for some bigger vessels we have seen improvements in the latest pictures, but overall it was a global containership charter rate index. I don’t think that this index will be moving substantially up from the previous quarter.
Ben Nolan – Stifel Nicolas: Okay. All right. Well that does it for me. I will let someone else on. Thanks.
Gregory G. Zikos : Thank you.
Operator: And our next question comes from Keith Mori of Barclays. Please go ahead.
Keith Mori – Barclays Capital: Good morning Greg.
Gregory G. Zikos: Hi Keith, good morning.
Keith Mori – Barclays Capital: Just want to touch on the newbuild outlook, I know you have a couple of that are not chartered, can you maybe give us an update on the progress that you have made, or you are looking at the strategy behind making for the new ships, do you expect to maybe wait a little bit longer and hope that in lieu of asset price maybe rising?
Gregory G. Zikos: Yeah. Well, it is actually four new buildings, which you know we have ordered and that they have not been chartered yet. We are not in a hurry. Of course, you know, we are in discussion with charters, but we are not in a hurry to charter them, and we think that we might have a better outcome if we’re patient. At the same time, we have the cash in order to make payments as per the shipping contract payment schedule. So, this is something we take it as growth and we are quite patient. We think that if we wait a bit longer the outcome will probably be much better.
Keith Mori – Barclays Capital: And I guess sticking on that, I know that Costamare at the balance sheet level, (inaudible) doesn’t really have much growth over the next maybe year or two from outside of the joint venture, I mean should we expect you to maybe look at potentially making some additional second half purchases over the next 12 to 18 months to drive some growth at the parent level here?
Gregory G. Zikos : Look, we looked at a lot of transactions, secondhand vessels, we have always out-chartered as well as newbuilding now, the new buildings of course, as you said probably they are not going to be driving a lot of EBITDA growth because they have couple of new construction billings. So there is a (inaudible). But definitely we are looking at, you know, secondhand transactions either say in leaseback or ships, which you know, were made by equity and charter them and then level them. We are working on some deals, but I’m afraid there is nothing that I can – I can tell you today.
Keith Mori – Barclays Capital: Okay. Well, I will pass it on. Thanks for the time.
Operator: And the next question comes from Mr. Fotis Giannakoulis from Morgan Stanley. Please go ahead.
Fotis Giannakoulis – Morgan Stanley: Yes, good morning Greg and thank you.
Gregory G. Zikos: Hi Fotis, good morning.
Fotis Giannakoulis – Morgan Stanley: I want to ask about the dividend increase and how do you think your dividend going forward, obviously your new buildings have already been delivered, at least the first set of new buildings. The building increase was quite modest, but at least it came after almost 3 years, what can we expect forward, what is the signal to make you raise your dividend again?
Gregory G. Zikos: Okay. The dividend increase it is in the region of 4%, and you are right by saying that this comes after the 10 new buildings we ordered back in 2011, which was delivered. They have commenced their charter employment. So the long-term cash flows are also back. Now, you know, of course we have capacity for further dividend increases, even if we don’t do any sort of meaningful transactions, you know, over the next 6 to 12 months. However, at the same time in today’s environment I think it also makes sense to preserve some cash for further growth. Now when the next dividend increase will be, I’m not sure that I can commit right now. We just announced this dividend increase yesterday evening. But I can tell you or I can repeat myself there is only one way for the dividend to go and it is up. And the founding family own 65% of the company. So, the dividend is something we highly value. We are all on the same boat on that. So, I think let us not forget we have 8 more new building, which – we still have 9 more new building, which will start to become delivered from, you know, September 2016 onwards. And, you know, in the meantime accretive transactions we will definitely seek them. So, (inaudible) available to further dividend increases. And let us not forget that apart from the increase, this is a dividend which we consider to be sustainable based on our contracted cash flows and based on our (inaudible).
Fotis Giannakoulis – Morgan Stanley: The reason I am asking you is trying to understand how much of this dividend increase was driven by the new buildings delivered, actually if I am not mistaken, new buildings that were delivered this quarter and how much was driven by the rechartering agreement that you signed and the reduction of your market risk and last, how much was related to your expectation about an improvement of their market and going forward how these three factors are going to impact your decision to raise it again?
Gregory G. Zikos: I think it was mainly driven due to the fact that we have accepted delivery of four new buildings ordered in the past. Now we normally would raise the dividend based on speculation on how the market will be doing over the next quarter. (inaudible) is something highly uncertain, and you know, we may not be the best people to speculate. So we base our decision based on cash. This is all that counts. So, it is due to the successful delivery of those new buildings. The re-chartering we did and the fact that, you know, we don’t have idle vessels definitely helps. The fact that we don’t have any sort of unplanned commitments, which we don’t think we can pat ourselves also helps. And looking the way forward, accretive transactions, it is the main driver for further dividend increases.
Fotis Giannakoulis – Morgan Stanley: Thank you, Greg. I want to ask you about your JV, you have already committed already some capital, if I am not mistaken around something like $46 million, how much equity do you need to contribute more and what kind of financing are these new building vessels that you have under your JV will be taking?
Gregory G. Zikos: Sorry, with the JV in total we have commitments for, you know, nine new buildings. We haven’t levered them yet. So whatever commitment we have is going to be subject to the leverage, and we are in advanced discussions gathering the debt financing of the five new buildings chartered to Evergeen. Now the agreement with (inaudible) has been for up to 490 million of equity committed by those parties in aggregate. But this is something that is subject to change based on market conditions, and you know what I mean by subject to change I mean to increase it. So, you know, I think that we still have a long way to go. We have more than one year of further investment period. So, I don’t think that equity is the issue. Our main goal is to find deals that justify the certain commitment with strong accounted parties within terms that meet our internal targets.
Fotis Giannakoulis – Morgan Stanley: Just to be clear, I’m talking about the existing vessels that you have in your order book, 914, something like that, something like $900 million you have already ordered. I see your balance you have committed $46 million, what is your estimate that you are going to need for this particular vessel, and I’m not talking about new acquisitions?
Gregory G. Zikos: Okay. Look our remaining commitments on the Costamare side is close to 360 million.
Fotis Giannakoulis – Morgan Stanley: For this existing – on equity. I’m talking about the equity portion.
Gregory G. Zikos: Equity. We haven’t (inaudible). So I don’t have a final debt sort of figure. Debt ranges from 8 to 9. We are going to change our equity portion. So out of the say 320 million of total equity commitment, depending on the debt levels if we assume an 80% level, we talk about 65 million of equity participation. But this depends on the level that we are going to get.
Fotis Giannakoulis – Morgan Stanley: In this 65 million, remaining or in addition to –
Gregory G. Zikos: No, no, remaining. So I mean from that and given it was 70 or sort of 80, this is a low amount of remaining equity commitments for the side of Costamare. So, that is why my previous point that, you know, I think we still have a long way to go, and we still have a lot of equity surplus to invest should we have attractive acquisitions.
Fotis Giannakoulis – Morgan Stanley: Thank you. That was very clear. One last question about your debt capacity on your existing fleet, we see that you repay debt something like twice your level of depreciation, how do you think first of all your debt repayments going forward, how shall we – and your actual distributable cash flow and how much debt can you raise on your existing assets, if you want to utilize it for growth?
Gregory G. Zikos: Okay. Look, (inaudible), you know, as of year-end we have (inaudible) because with the leverage on the corporate level being calculated. This is a region of let us say 55%. Now we have a fixed debt repayment schedule, which as you said, is double or more than double our depreciation expense, which means that we are repaying our debt quite prudently, and definitely more than the maintenance Capex of the fleet, if you say that the maintenance Capex is close to depreciation of the asset. But now the way forward today we have four ships that are debt free. I don’t have in front of me (inaudible), but I can tell you that 60 million or 70 million goods will probably be raised on those vessels, and we would also – if we want to also raise the corporate levels over 55% we are today to 60% or 65%, which is still quite an acceptable level of leverage. So, in that respect I think there is still a lot of room to borrow. There is still substantial capacity from underleveraged assets. Now the interpretation is whether we are going to be changing that debt repayment schedule. I don’t think that this is something we have in mind. What, you know, we might be doing is to monetize some assets that are today debt free, or to monetize some assets, which are underlevered. But still, you know, I don’t think we are going to be losing on any transactions because of scarcity of cash.
Fotis Giannakoulis – Morgan Stanley: Will it be safe to say that we do not need to raise any more common equity at this point?
Gregory G. Zikos : Yes. Look, I think that up to now we have proved, I mean in the last couple of times we did some fund raising with preferred. I cannot say that we would be raising common only if, you know, we don’t have any other means of financing, either through, you know, our assets on the balance sheet or through our instruments and it has been something which is very big, something we know they would have accretive results and something that would merit the dilution. Otherwise, I think raising (inaudible) would be our last result.
Fotis Giannakoulis – Morgan Stanley: Thank you very much for your answer.
Gregory G. Zikos: Thank you, thanks.
Operator: And our next question comes from Donald McLee of Wells Fargo. Please go ahead sir.
Donald McLee – Wells Fargo: Hey, guys. You announced a number of new charters for some of your smaller, older vessels and I was just interested in hearing a bit about the low interest on those assets?
Gregory G. Zikos: Yes, so those vessels, I mean you talked about on slide 4 that is about all the ships that we have currently chartered. This has been chartered at today's at market rate. You can see that the 2,500 TEU also and 7,500 today they are same for the sort of the year like 2000 for the 1,500 TEU which is again, which was low to 7,000 per day. I mean these are the markets leverage today and these are got the markets rates and as you can see the average duration of those charters are relatively small. As we appreciate the fact that these are the charter rates that below historical levels, so I mean in that interest we are going to charging for shorter periods and then we feel that the market rate also is attractive and in that case we would go for a longer coverage.
Donald McLee – Wells Fargo: All right. Thanks. That's all my questions.
Gregory G. Zikos: Okay.
Operator: And our next question comes from Nish Mani of JPMorgan. Please go ahead.
Nish Mani – JPMorgan: Good afternoon guys. Greg, I was wondering if you could provide some commentary on the various sub-segments you guys operating within container shipping space, I mean, historical you guys have skewed the new build order book in recent transactions towards larger vessels but you know in line of acquiring the smaller vessel and the distress transaction, I want to get a sense of where you guys see kind of future growth shaping up between in the second-hand space?
Gregory Zikos: Okay for the second-hand business, I mean we don't have any pre-determined size target. We can buy 1500 TEU vessel charter-free like we did which was a distressed sale or you know we could actually be doing 6500 TEU vessel under the sale and leaseback transaction with the charter. I think we are pretty open and as long as the numbers work, which is something we are going to be considering. Now, as far as new building are concerned, new buildings, the latest 14,000 TEU ships built in Korea. This is something that the client, our charter asked for because of the needs, they wanted to have these size of vessels. So, there we followed our client's request. I think it's not secrete but more than 80% of today's order book is for ships are above 5000 TEUs and line of companies prefer bigger vessels for economies of scale. So if that's the case, I think we, from other side, we need to get to the need of our clients and since that is why we put this order.
Nish Mani – JPMorgan: That makes sense. I mean, as you noted, there is significantly economies of scale that's going to be realized on larger end and to the extent that you guys have, you guys operated in the larger segment with 6,000 TEUs-plus area and the feedermax segment, in the smaller vessels, it makes the question as to how much you guys believe in the effects of cascading and whether or not the middle segment of vessels, kind of 3,500 to 5,000 TEUs, if those vessels become redundant over time, do you guys see yourself growing that portion of your fleet, or is that something you would retire over time?
Gregory G. Zikos: I think there was recently a transaction that they had to do with Panamax vessels which are not the most sought after asset size today, this is a transaction that was done where we passed on. We might be looking at asset classes that are not very popular today only if the numbers work. So it might make sense at some point to buy something close to scrap value. So if it is an asset operates for a couple of years then the equity in invested would normally be paid back and you can bring the vessel back to scrap. So it still has to do with numbers and we say how much comfortable we feel with the residual risk assumed at the expiry of the target party.
Nish Mani – JPMorgan: Okay. That makes sense. That's it from me. Thank you so much for time.
Gregory G. Zikos: Thank you.
Operator: And our next question comes from Mark Suarez of Euro Pacific Capital. Please go ahead sir.
Mark Suarez – Euro Pacific Capital: Hi there. Good morning, Greg.
Gregory G. Zikos: Hi, Mark. Good morning
Mark Suarez – Euro Pacific Capital: Listen just looking at scrap prices where they stand today any potential to maybe dispose some of your older vessels that expire in the near future or do you feel comfortable in just keeping, renewing these vessels on short-term contracts?
Gregory G. Zikos: No, look scarping depends on the visual condition of the vessels and on the market as well as on the steel prices. The today steel prices are at relatively high level, probably very close to $500 per tonne. So the decision will be taken based on those parameters. If we feel that this is an asset whose physical condition is still acceptable, and can find attractive employment we would have no reason to scrap. I mean, as a company, we have been operating older vessels and it has also to do with the operational capabilities of the manager. If however we feel that the physical condition of the vessel is such so that scrap attractive prices is justified then we wouldn't have any problem scraping the vessel and the equity received can be used for another acquisition.
Mark Suarez – Euro Pacific Capital: Got you. And just turning back to the vessel you recently purchased on the financially distressed source, are you seeing more of these financially distressed sources coming to you, sort of getting to the point where a lot of these guys are getting desperate to move somewhere tonnage away from their balance sheet, do you feel that this could be a new trend going forward as charter rates don't really significantly improve and asset values remain historically low levels, what is your sense on that trend, that specific niche in that market.
Gregory G. Zikos: Well, I mean I think that up till now we have seen a very small number of transactions like that. Bearing in mind so far how many vessels versus how many Panamax were delivered in 2007, 2008 and 2009 as you know, inflated prices and high levels and only very few of those vessels have been sold today in the distress transaction. So up till now the trend is not to see things like that. There may have been some isolated transactions here and there but I think that overall, you can argue that this is the exception rather than the norm and that will an extend this capability of banks appetite to disclose of those vessels and absorb and not absorb the result in accounting loss. So I don't think I mean we haven’t seen a lot of transactions like that and I don't think that I am capable of predicting the future on that.
Mark Suarez – Euro Pacific Capital: Right. And now turning to the new-builds. I know we have seen a lot of ordering activity especially for the large size new-builds, I think somebody touched on that and that is driving some of the price increases, when you talk to the shipyards and when you talked this quarter, have you seen indeed that increased competition for space within the larger vessel classes? And how do you see those new-building processes trending forward in the next 12 to 18 months.
Gregory G. Zikos: I think today it's not easy to finding delivery let's say in mid-2016 for a large vessel. So there is a substantial amount for those ships. At the same time, the first quarter of 2014 we saw also our increased ordering due to the fact that new-building prices have been at extremely low levels. This was the main driver between new-building orders even if there was no employment at the time of putting the order. So new-building prices have gone up over the last months and now whether this is a competition, I don't think there is as much competition as we just saw back in 2006 or 2007. But again asset prices for new-buildings have moved up because there was some increase ordering at the beginning of the year.
Mark Suarez – Euro Pacific Capital: Okay. Great. That's all I have for now. Thanks for your time.
Gregory G. Zikos: Okay thank you.
Operator: And the next question comes from Gregory Lewis of Credit Suisse. Please go ahead sir. Mr. Lewis, are you there? You line is locked. And our next question will come from Shawn Collins from Bank of America. Please go ahead sir.
Shawn Collins – Bank of America: Hey, Greg. Good afternoon. How are you?
Gregory G. Zikos: Hi, Shawn. Good morning
Shawn Collins – Bank of America: Thank you. I know you have covered a lot so far, can you just comment on what you are seeing in your end-customer market and to some extend comment on global trade and overall macro economic conditions and to the extent that you are able to differentiate between regions America, Europe and Asia?
Gregory G. Zikos: Look. If the question has to do with where we see global demand going, I am afraid that as a company we have a policy of not predicting about the markets supply or I mean although it's much easier to predict about supply because it's something we know today for the next couple of years. Because there are so many unknown parameters where the way we run the companies that we look at our cash flows, we will make a couple of transactions based on secured cash flows, and we may take some residual risk based on the view we may have the market for the next quarters but generally we tend to refrain from making market predictions. I can tell you though that what we see today there is an imbalance between supply and demand. I think there is no question that supply today is much more so the ships today are much than the ships needed in order to catered to the shipper’s needs. We know that there has been extensive ordering for larger ships. We see a lot of pressure and squeeze for the mid-size vessels especially for the Panamax vessels. And we see a demand increase but not at levels that are capable for observing the supply. So although I mean overall let's say year-to-date growth in Asia, Europe in the region of let's say 1.8% to 2% in demand terms, the supply of ships there, of tonnage there is much larger. If you look at the Asia and North America overall trade growth, but year-to-date this is in negative territory. So there is no question that supply and demand are not in equilibrium but I am afraid I cannot tell you if this is something that is going to be changing over the next quarters or years. If I may say I don't see a reason why this would be changing over the next couple of quarters unless you tell me that you expect a hike in the global GDP. Otherwise, I think that the market short terms, the market may remain where it is today. Now from our point of view, the fact that we have a low asset value environment coupled with low charter rates, this is what we feel it is proper environment in order to expand and this is why we are now in an expansion mode.
Shawn Collins- Bank of America: Okay, that's it. That's very helpful. Thanks Greg. Okay. That's all I had. I will turn it over but thank you very much for the insight.
Gregory G. Zikos: Okay. Thanks.
Operator: [Operator Instruction] And it appears that there are no more questions. This concludes our question-and-answer session. And I would like to turn the conference back over to Mr. Zikos for any closing remarks.
Gregory G. Zikos: Yes. Thank you. Thank you very much for being here with us this morning. We are mainly committed to delivering the shareholders value. Our goals remains to continue improving the dividends of our cost load increase. Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you for all participating in the conference and you may now disconnect your phones.